Operator: Good day, and welcome to the Big 5 Sporting Goods Fourth Quarter 2012 Earnings Results Conference Call. Today's conference is being recorded. On the call today from the company, we have Steve Miller, President and CEO; and Barry Emerson, CFO. I would now like to turn the call over to Mr. Steve Miller. Please go ahead, sir.
Steven G. Miller: Thank you. Good afternoon, everyone. Welcome to our 2012 fourth quarter conference call. Today, we will review our financial results for the fourth quarter and full year of fiscal 2012 and provide general updates on our business, as well as provide guidance for the first quarter. At the end of our remarks, we will open the call for questions. I will now turn the call over to Barry to read our Safe Harbor statement.
Barry D. Emerson: Thanks, Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans and prospects constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, in current and future periods, to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual report on Form 10-K for fiscal 2011, our quarterly report on Form 10-Q for the third quarter of fiscal 2012 and other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time to time by us or on our behalf.
Steven G. Miller: Thank you, Barry. We are pleased to report a very solid fourth quarter for our business. We delivered strong sales, expanded gross margins, leveraged expenses, meaningfully grew earnings and generated very healthy cash flow. We also strengthened our balance sheet, as our cash flow allowed us to significantly reduce our debt at year end. And as we'll discuss in today's call, a positive sales momentum has continued into the first quarter of fiscal 2013. I'm also pleased to report that as a result of our strong financial position and anticipated healthy cash flow, today, we announced a 33% increase in our quarterly cash dividend to $0.10 per share for an annual rate of $0.40 per share. Now I'll comment on sales for the fourth quarter. We rang the register to the tune of $243.7 million -- $243.6 million, up 7.5% from $226.7 million for the fourth quarter of fiscal 2011. Same-store sales increased 6.5% during the fourth quarter of 2012, representing our largest quarterly same-store sales improvement in over 10 years. Our sales comped up in the mid-single digit range for each of our October and November periods, and we had a strong performance on Black Friday. For our December period, our sales comped up in the high-single digit range. While December started off relatively soft, sales momentum picked up during the week before Christmas, and the after-Christmas period was outstanding due in part to the arrival of favorable winter weather conditions, which had generally been lacking in our markets for the majority of the quarter leading up to Christmas. For the quarter, we experienced a low-single digit decrease in traffic and a high-single digit increase in average ticket versus the prior-year period. From a product standpoint, all 3 of our major merchandise categories comped positively for the quarter. Hardgoods was our strongest category, with sales comp-ing up in the high-single digit range due largely to the strength of our outdoor product categories. We, like most in the industry, benefited from the well-publicized national increase in demand for firearms and ammunition products. Sales in our apparel category comped up mid-single digits, and we believe that this category has been the biggest beneficiary of our efforts to expand assortments of branded products. Our footwear sales comped up low-single digits for the quarter. Merchandise margins increased approximately 20 basis points for the quarter. This increase was less than we anticipated as the sales mix shift favoring firearms and ammunition products, which are relatively low margin for us, had an impact on merchandise selling margins. Now commenting on store openings. During the fourth quarter, we opened 8 stores, including 1 relocation and closed 1 store. The new store openings were in Big Bear and Pomona, California; Bothell, Washington; Payson, Arizona; Price, Utah; Ruidoso, New Mexico; and Stephenville, Texas. We also opened a store in Auckland, California, as part of a relocation. We ended the year with 414 stores in operation. During the first quarter, we plan to open 1 store, and we have closed 1 store as part of a relocation that began in 2012. At this time, our plans for fiscal 2013 call for us to open approximately 15 to 20 new stores, including 3 relocations and to close approximately 3 relocated stores. From a product marketing standpoint, we are pleased with the launch of our new product catalog as part of our enhanced website, which rolled out in mid-November prior to the holiday shopping season. We have since experienced significant increases of the number of visitors to our site and the amount of time visitors are spending browsing our feature products. As we've mentioned, this enhanced website is an important step towards launching a full e-commerce platform. We continued to proceed with plans to move into e-commerce and currently believe that we could be in a position to go live prior to the end of this year. Now turning to current trends. I'm pleased to report that we have continued to enjoy very healthy sales during the first quarter to-date. Sales have benefited from favorable winter weather conditions in many of our markets, especially compared to the very unfavorable winter weather experienced during the same period last year, as well as from the continued high demand for firearms and ammunition products. Although our recent performance has been encouraging, and we are pleased with the traction we are gaining on the merchandising and marketing initiatives that we have implemented over the last year, we do recognize that the overall economic environment remains challenging for many consumers. Although it is difficult to gauge, we do believe that pressures such as rising gas prices and higher payroll taxes are likely taking a toll on our consumer. With that in mind, our focus for 2013 will continue to be to build on our core strengths and competitive advantages and drive sales by an offering an unmatched combination of value, selection and convenience. With that said, now, I will turn the call over to Barry, who will provide more information about the quarter, as well as speak to our balance sheet, cash flows and provide first quarter guidance.
Barry D. Emerson: Thanks, Steve. Our gross profit margin for the fourth quarter of fiscal 2012 was 32.2% of sales compared to 31.2% of sales for the fourth quarter of fiscal 2011. The increase was mainly due to the increase in merchandise margins of approximately 20 basis points that Steve mentioned, as well as our ability to leverage store occupancy and distribution costs. Our selling and administrative expense as a percentage of sales improved to 29.2% in the fourth quarter of fiscal 2012 from 31.3% in the fourth quarter of the prior year. On an absolute basis, SG&A increased $0.4 million. The increase was due primarily to added expense for new stores, reflecting an increased store count and higher employee benefit-related costs, partially offset by a decrease in advertising expense. Selling and administrative expense in the fourth quarter of fiscal 2011 included a non-cash, pre-tax impairment charge of $1.5 million. Now looking at our bottom line. Net income for the fourth quarter was $4.0 million or $0.19 per diluted share. This compares to a net loss in the fourth quarter of fiscal 2011 of $9,000 or $0 per diluted share, including a non-cash impairment charge of $0.05 per diluted share. Briefly reviewing our full year results. Net sales increased to $940.5 million from $902.1 million in fiscal 2011. Same-store sales for fiscal 2012 increased 2.5% versus the prior year. Net income was $14.9 million or $0.69 per diluted share, including non-cash impairment and store closing charges of $0.04. This compares to net income for fiscal 2011 of $11.7 million or $0.53 per diluted share, including a non-cash impairment charge of $0.07 per diluted share. Turning to our balance sheet. Total chain inventory was $270.4 million at the end of the fourth quarter, up 2.3% from the prior year. On a per-store basis, our inventory was flat year-over-year. We feel good about our current inventory position, particularly given the healthy sell-down of winter products during the first quarter with the favorable winter weather we've experienced. Looking at our capital spending. Our CapEx, excluding non-cash acquisitions, totaled $12.9 million for fiscal 2012, primarily reflecting expenditures for new stores and relocations, existing store maintenance, distribution center equipment, MIS systems and corporate office leasehold improvements. We expect total capital expenditures in fiscal 2013, excluding non-cash acquisitions, in the range of $18 million to $22 million, reflecting the opening of approximately 15 to 20 new stores and increases in existing store maintenance and remodeling. We generated healthy cash flow from operations of a positive $39.6 million in fiscal 2012 compared to $2.2 million in the prior year. The increase in cash flow from operations primarily reflects higher accounts payable year-over-year due mainly to the timing of inventory purchases. In the fourth quarter, we used our healthy cash flow to pay our quarterly dividend, reduce borrowings and repurchase shares. Our long-term debt at the end of the fourth quarter was $47.5 million, down 25% from $63.5 million at the end of fiscal 2011. During the fourth quarter, we repurchased 40,000 shares of our common stock for a total of $0.4 million. For the full year of fiscal 2012, we repurchased a total of 448,991 shares for $3.6 million. As of the end of the year, we had approximately 9.6 million available for future stock repurchases under our authorized 20 million share repurchase program. As Steve mentioned, we are moving forward with plans to develop an e-commerce platform for our business. While we believe we could be in a position to launch this platform by the end of this year, at this time, we do not expect our e-commerce business to be material to our 2013 financial results. We expect to begin incurring development costs in the first quarter and estimate the impact on the quarter will be approximately $0.01 per share. For the full year of fiscal 2013, we estimate net costs related to the e-commerce rollout of less than $0.05 per share. Now I'll spend a minute a our guidance. For the first quarter, we are projecting same-store sales in the positive high-single-digit range and earnings per diluted share in the range of $0.18 to $0.24, including an anticipated tax benefit of $0.01 per diluted share. For comparative purposes, in the first quarter of fiscal 2012, same-store sales decreased 2.9% and earnings per diluted share were $0.01. Our guidance reflects the previously mentioned increase in demand for firearms and ammunition products and favorable winter weather conditions compared to the prior year. Guidance also anticipates a negative impact from a calendar shift of the Easter holiday when our stores are closed out of the second quarter and into the first quarter this year. In terms of creating our forecast, we recognize that the economy remains challenging for many of our customers, with rising gas prices and higher payroll taxes likely taking a toll on our consumer spending. These factors, combined with the favorable weather conditions and abnormally high firearms and ammunition sales, make forecasting future sales somewhat challenging. We would not necessarily anticipate these benefits to continue going forward, and it is difficult to predict the impact that the overall economic headwinds will have on our consumer. That being said, we are encouraged by the positive sales trends that we have experienced in the first quarter to date. We are also pleased with the progress we are making on our merchandise and marketing initiatives and the overall direction of our business. Operator, we are now ready to turn the call back to you for questions and answers.
Operator: [Operator Instructions] We'll go first to Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Specifically, on just some of the category commentary you provided within the hardgoods segment and around firearms, how are you positioned from a supply standpoint? Do you feel like you're able to satisfy demand at this particular point in time, or is that still an area, where the consumer is a little bit starved in getting products at this point in time?
Steven G. Miller: Well, Sean, I mean, the spike in consumer demand for these products over the past couple of months has created certainly some, I think, well-publicized inventory shortages of products. We enjoy very positive vendor relations, believe that we've generally been able to get our fair share of products. But I'm not sure that in all cases the supply has caught up with the demand.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay. That's helpful. And then, just on the new store openings for 2013, can you just talk a little bit about the cadence of when we should think about those stores following throughout the year? And then, as a follow-up to that, are there any new markets that you plan to enter, or are these primarily just a fill-in market at this time?
Steven G. Miller: Barry, do you have the -- I mean, in terms of the cadence, again, back-end loaded. One, in the first quarter, I don't know that we have a precise numbers to give you. It will be back-end loaded. As is our typical pattern. In terms of the markets, I mean, we're continuing to focus in the -- right now, within the 12-state footprint that we operate in. And as always, we have our eyes on contiguous markets should an opportunity arise to gently expand the footprint.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay. It makes sense. And then, just lastly, on the operating margin, obviously, the company overall well below some of the rates where it used to be pretty consistent in the 6% to 8% range. Do you have -- is there anything structurally that changed in the business that could impede your progress in terms of making a move back up towards those levels over a longer period of time assuming the consumer remains there for the products that you guys sell?
Barry D. Emerson: Yes, Sean. As you mentioned, prior to the downturn in 2007, we have historically achieved operating margins in the 6% to 8% range. For 2012, our operating margin was 2.8%, an improvement from 2.1% in 2011. As we have historically, we believe we can leverage our expenses in a very meaningful way with the revenue -- when our revenue growth improved, which our second half of 2012 results really certainly demonstrated. So I'll kind of leave it at that. I mean, I think we have said that we believe we can get back to those levels, and we structurally don't see anything -- any reason why we can't, but it really is going to depend on a combination of certainly steady sales growth and margins heading in the right direction.
Operator: We'll go next to Sean McGowan with Needham & Company.
Sean P. McGowan - Needham & Company, LLC, Research Division: Barry, can you help us out with what we should expect on the -- for the full year in terms of tax rate in 2013?
Barry D. Emerson: Sean, I'd use a rate somewhere in the 38.5% range or so.
Sean P. McGowan - Needham & Company, LLC, Research Division: Okay. And can you help us at least bracket, to some degree, the magnitude -- like how much of an impact firearms are having -- or the incremental firearms sale, how much of that comped increase in the fourth quarter could have come from that or how much in the first quarter you're seeing? Just trying to see how much of a needle mover that is.
Steven G. Miller: All right, I'll take this, Sean. I mean, in terms of the fourth quarter, I mean, the categories were certainly meaningful to our overall results. It shouldn't be lost the fact that we comped up in mid-single digits in October, November before really the national demand for these products really surged. Our apparel category was up mid-single digits for the quarter. Our footwear was up low-single digits for the quarter. Obviously, footwear and apparel have little to do with the -- nothing to do with the firearms category. What I will tell you is that our hardgoods category would have been up in the low-single digit range if we were to completely exclude firearms and ammunition from the equation. That said, those categories have been performing positively and then benefiting the business trends overall for some lengthy period of time. And it perhaps also should be noted, as I think I mentioned in the prepared remarks, that those categories are -- although obviously beneficial, the sales to the top line, are somewhat a drag on our product selling margins.
Sean P. McGowan - Needham & Company, LLC, Research Division: Right. Very helpful. And then finally, besides the shift of the timing of where Easter falls in your quarter, is there anything else that we should be aware of or reminded of? The rest of this quarter versus the second half of last year's first quarter in terms of unusual things that happened last year that may or may not repeat this year?
Steven G. Miller: Well, in terms of the first quarter?
Sean P. McGowan - Needham & Company, LLC, Research Division: Yes.
Steven G. Miller: No. I think, I mean, the first quarter, the big occurrence is the shift of Easter. And in that case, Easter last year was in the second quarter. Our stores were closed on Easter Sunday. So effectively, we lose the sales day. This year, Easter shifts to the last day of our first quarter, so we lose a sales day for the quarter, and we see that as a negative impact to the first quarter and be beneficial to the second quarter.
Sean P. McGowan - Needham & Company, LLC, Research Division: Right. But other than Easter, was there anything that happened last year towards the end of the quarter that either was unusually positive or unusually negative that we wouldn't expect to see this year?
Steven G. Miller: I mean just variances in weather that are -- that we realized this year versus last year, and we assume there will be variances this year as well over last year, but we're yet know the half [ph] of what they are.
Operator: We'll take our next question from Mark Smith with Feltl and Co.
Mark E. Smith - Feltl and Company, Inc., Research Division: Barry, you talked a little bit about some of the spending on the e-commerce. Can you walk us through anything else in SG&A, you guys have been running lean, is there anything else that may come in this year?
Barry D. Emerson: No. I think the -- Mark, no. I mean I think the e-commerce is kind of the new thing. I mean we're continuing to look at all of our expenses, and I think we've been reasonably successful in driving down costs through the years. I mean, clearly, there is still some pressure, and we're seeing some pressure in Worker's Comp, in credit card fees and, certainly, on our website -- the website. The e-commerce consulting is an area. And obviously, we are getting some pressure on the fuel side as well. Going in the other direction, we're -- we've been adjusting our advertising, our newspaper ad spend and we've been bringing that down pretty consistently over the last several years. So there's some offset there, which I think is certainly helpful. And again, looking at any costs that are increasing and trying to figure out ways to try and mitigate that, and I think we've been reasonably successful. So I don't see anything in particular that's sticking out as being really kind of a sore item for 2013.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. And then, just looking at the digital advertising, where would you guys say you are outside of an e-commerce platform? Where are you in digital advertising as far as -- is there still a lot of low-hanging fruit to pick up?
Steven G. Miller: Well, I think we're certainly moving in the right direction and utilizing digital advertising to drive our business. We've been expanding our e-team, the people who we communicate with electronically. We've been ramping up our Facebook presence in terms of social media. I think we started the year with just a really a handful of followers or, I guess, "friends," they call them on Facebook, and now have over half -- 0.5 million. We've certainly increased our investment in online and mobile advertising. We did that in 2012 and continue to do that in 2013. As we mentioned, we launched a new product catalog on our website in Q4. And we're doing a number of initiatives to really drive sales digitally, and it's -- we're very happy with our progress there.
Mark E. Smith - Feltl and Company, Inc., Research Division: Great. And then last question, you talked a little bit about gas prices, I think we've seen kind of the impact on consumers in the past. Do you feel like now after going through some of these spikes that, with your DC, that you're in a good position to take away some of the pressure from gas prices on distribution?
Barry D. Emerson: Well, certainly, Mark, we've -- we implemented -- the one thing that really jumps out other than just trying to overall manage is the new Oregon distribution hub that we implemented back in June of 2011. I mean that -- very excited. I mean, the Oregon hub -- again, and just for those who aren't aware, the Oregon hub, which was opened in June '11 allows us to shift full trailer loads up to the Pacific Northwest, and then divide the loads for shipment to our individual stores. Previously, we shipped partial trailer loads so that the new hub saves trips to the Northwest in obviously mileage. This hub -- and again, as fuel prices continue to hedge up, we really kind of save more from this arrangement. And on an annual basis, we save about $900,000-or-so a year with this new hub. And if fuel prices continue to hedge up, that could increase as well. So nothing -- other than that, and just continuing to try and manage day-to-day in terms of managing those costs and looking at our schedule of truck deliveries and things like that and working with our service providers, I mean that's about all we can do.
Operator: We'll go next to David Magee with Suntrust Robinson Humphrey.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: A couple of questions. One, you mentioned earlier that the apparel category did the most from some of your branded strategy. Is that because that category had the most upside just in terms of what you have been carrying? Or can we expect maybe more in the future coming from footwear in terms of the upside?
Steven G. Miller: Well, I think -- arguably, I think you hit it. Perhaps, there was maybe the greatest potential upside in the apparel. I'd argue that's sort of a definition of the type of apparel we should carry -- a store like ours could carry as may be more up for interpretation than certain other categories in our offering and allowing our initiatives and using our business analytics to really drill down and fine tune our offering, it's been a very positive experience for us. So we feel we've had good opportunities to grow the apparel category. That said, I think some of the things that we're doing in apparel. There is benefit in footwear, as well and just maybe a little more low-hanging fruit in the apparel than in footwear.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: But you're relatively happy with the sell-through at the higher price points on the footwear side so far. Is that fair to say?
Steven G. Miller: Yes, we're very happy with what we're doing in terms of trying to drive the footwear business. I think one of the issues we see in our footwear is probably a more mature business for us. And I think the -- probably seen a little more impact from some of the economic issues in footwear than other categories. I mean, we've got a tremendous following in we'll [ph] call it value-oriented footwear and I think those consumers maybe a little more pressed than some others. We're going to apparel more onto the more opportunity to push upwards. And we certainly see this in footwear, and we're reminded of this as we hit the so-called pace cycle phenomena that a number in retail have spoken to because this is something that's real evident in our footwear sales.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And secondly, is it fair to assume that traffic is now running positive in the first quarter from the acceleration you've seen in your comps?
Steven G. Miller: For the first quarter to date, it is fair to assume that as we speak.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And any idea what you're traffic might look like if you sort of x out the firearms business? Or is that too difficult?
Steven G. Miller: Well, we're not -- I'm not prepared to answer that question certainly in the middle of quarter, and I think it'd be difficult -- probably difficult to quantify that at this time right now.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Fair enough. And then just lastly, do you think that -- the firearms business being so strong, does that cannibalize other categories that may carry higher margins?
Steven G. Miller: I mean, there's a piece of me that suggests that consumers and people who have so much money to spend and if they're choosing to spend it in 1 category, it may attract from their ability to spend in other categories. We're also believe that we've likely engaged with new customers that were introduced to Big 5 in their search for these products. On the whole -- hard to evaluate but we're certainly pleased with the overall direction of the business.
Operator: We'll go next to Bill Dezellem with Tieton Capital Management.
William J. Dezellem - Tieton Capital Management, LLC: A couple of questions. It's Tieton Capital Management also. Did the strength that you're referencing in the January-February time period, did it simply continue from what you saw in December? Or have you actually seen an acceleration in your comp sales here quarter-to-date?
Steven G. Miller: Bill, we're guiding to a high-single digit for the first quarter to date. We comped plus 6.5% in the second quarter, and I'll let you interpret it from there -- I'm sorry, for the fourth quarter -- I'm sorry, for the fourth quarter, 6.5%, and I'll let you interpret those numbers as we speak today. We're not going to quote a precise number mid-quarter.
William J. Dezellem - Tieton Capital Management, LLC: And then, the 6% to 8% operating margin goal was discussed earlier in the call, what would you submit is a reasonable timeframe to achieve that goal? Is that a '14, '15 phenomenon or do you think it's pushed out even further more like a 2015, '16 timeframe?
Barry D. Emerson: Well, Bill, I really can't put any kind of a timeframe on it. It's -- we -- it's been a challenging 5 years for us, right, through this recession, and we were down 7% in 2008 and we're kind of clawing our way back. So I certainly couldn't put a number of years on it. I can tell you that we are in a position where we're leveraging our expenses at a 1% to 2% growth rate today. We're leveraging our occupancy at something well below our historical averages at 3.5%. We're probably something closer to the 3%. And frankly, we're leveraging our distribution costs at a flat to negative comp today. So if we can get some strong sales, push it in the right direction and continue to hedge up our margins like we have been, then we'd be on the shorter side. If we don't and with the economic headwinds today, if it slows it down and makes it more challenging, it could push it off, it could certainly push it off. That's really all I can say.
Operator: We'll go next to Mike Baker with Deutsche Bank.
Michael Baker - Deutsche Bank AG, Research Division: I wanted to ask you about some of those apparel initiatives that you've talked about, merchandising and the like. Can you remind us when you first started to really get those in the stores and see some traction there? And who do you think you're taking business from? It seems like you're comping better than the industry average or, at least in the past, you're below average, now you've caught up. You must have taken it out from somewhere.
Steven G. Miller: Yes. I mean, in terms of when we started seeing traction, I would -- I think we really started to see it late in 2011 into early 2012. At that time, most anything we were doing positive was obscured by a, as we've said, a winter that wasn't, and I think we've ramped up the progress in our apparel category pretty positively since then. I wouldn't speculate in terms of who we're -- whom we're taking market share from, assuming we are. And I think our results suggest that that's the case. I mean the type of apparel we're selling is sold in a broad array of stores and throughout our marketplace.
Michael Baker - Deutsche Bank AG, Research Division: Okay. And then, following up on that, it is -- so it sounds like the momentum is continuing in that higher price point product it is -- a little curious that, that's happening in a time that it sounds like the consumer is a little bit more stretched, particularly what we hear from other retailers in terms of payroll taxes and delays in tax refunds, et cetera. Can you square those ideas that is more strapped consumer yet selling more higher-priced items better?
Steven G. Miller: Sure. I mean, I think, there is -- not all consumers are strapped. And part of our -- as we've recognized the toll that the duration of the economic downturn has taken on the -- in consumer discretionary purchasing, it wasn't lost on us that while -- certainly, those who have been unemployed or seeing wages cut, unemployment benefits ending, those consumers may have been potentially dropping out of the -- our market, the consumers who are doing okay, the stock market's been healthy now for a number of years, and it wasn't lost on us that those at the higher end of the retail spectrum were doing better. And so, what we tried to do was just step up our product offering. Certainly, not abandoning the value proposition that we've fundamentally built our business on for 58 years, but just try and create an offering that may give us a better shot to capture some of the discretionary income of those who are in a position to spend.
Michael Baker - Deutsche Bank AG, Research Division: So interesting. One more then, if I could follow up on that. It sounds like then what we're seeing is a new customer set coming in, what can you continue to do to sell that customer more? Or is there sort of an upside in this evolution of adding more better products in the stores, not only in apparel but footwear and maybe even in hardgoods?
Steven G. Miller: It's -- we're not making dramatic, overnight changes. It's -- it really comes down to good retail execution of analyzing what's working, what's not working for you, and then trying to deploy our resources in a manner just to create ultimately incremental sales. It's an ongoing effort. We believe we've certainly benefited by our investment in retail analytics. And we've got a very experienced and strong buying team that looks at our results. And as we've really tried to do from day 1 in our business, try and weed out certain products that we feel are not producing the type of results that we would like and invest in products that we think give us some upside for creating incremental business.
Barry D. Emerson: And, Mike, we're also increasing our spend in digital advertising and really kind of shifting dollars from newsprint to some degree and heading them toward digital advertising. And so, we feel strongly that we're actually reaching, kind of, also a different customer, which can certainly be -- as they're introduced to Big 5, if they haven't already been, that certainly could add incrementally to the interest in the business and the interest in the new products.
Steven G. Miller: Additionally, we are also stepping up our investment in our stores to really touch more stores in terms of remodels and enhancements, in terms of fixtures that we think will help present some of the product, particularly some of the branded, higher price point products more favorably, and that's another investment that we think will hopefully pay strong dividends for us.
Operator: We'll go next to Steven Martin with Slater. I'm sorry. We'll go next to Sean McGowan with Needham & Company.
Sean P. McGowan - Needham & Company, LLC, Research Division: [indiscernible] a quick follow-up. Going back to -- I think, it was Dave's question earlier, I just want to clarify specifically what he said in his questions. Did he say, Steve, that traffic is now up or traffic is not up in the first quarter?
Steven G. Miller: I said that it was safe to assume the traffic first quarter to-date is up.
Operator: And it looks like Steven Martin has -- from Slater has re-signaled. We'll take our next question from Steven Martin.
Steven L. Martin - Slater Capital Management, L.L.C.: Question, I thought you said that traffic was down, but transaction size was up. Is that correct?
Steven G. Miller: In the fourth quarter, our ticket was up high-single digits, and traf was down low-single digits. But we received a question about traffic, whether one could assume the traffic in the first quarter was running favorable, and I answered that it was quarter-to-date.
Steven L. Martin - Slater Capital Management, L.L.C.: But what about transaction count, because that's the item in the middle there?
Steven G. Miller: Okay, transaction. When we say traf, we're saying transactions -- to us, yes.
Steven L. Martin - Slater Capital Management, L.L.C.: Okay. With respect to gross margins excluding occupancy -- if you look at your 3 categories, obviously, hardgoods is impacted by guns and ammunition. But if you look at it x that and if you look at footwear and then apparel, how were your gross margins in those categories for the quarter?
Steven G. Miller: We don't speak that granularly about our product category performance.
Steven L. Martin - Slater Capital Management, L.L.C.: Well, would you say that they were all up, in line with the consolidated increase, better than the -- just some direction?
Steven G. Miller: Well, I mean the -- I think the direction would be that the -- our reported product selling margins would have been a much more positive were we to have a -- with or without the firearms and ammunition -- and I think the firearms and ammunition had probably roughly an 80 basis point drag on our product selling margins for the quarter. I'm not sure if that's the question, but I hopefully that helps.
Steven L. Martin - Slater Capital Management, L.L.C.: Yes, that's helpful. Could you tell us whether -- like, of the 3, which would've been the highest and which would have been the lowest?
Steven G. Miller: Generally speaking, apparel category from a margin standpoint is our healthiest category.
Operator: And with that, we have no further questions. I'll turn the conference back to Mr. Miller for any closing remarks.
Steven G. Miller: Thank you, operator. We thank you all, for being on our call today, and we look forward to our reporting of first quarter results in a couple of months. Thank you.
Operator: That does conclude today's conference. We thank you for your participation.